Nathan Ryan: Good morning, and welcome to the Perseus Mining webinar for its June 2021 quarterly activity report. [Operator Instructions]. I will now hand over to Perseus Mining's Managing Director and Chief Executive, Jeff Quartermaine. Thank you, Jeff.
Jeffrey Quartermaine: Thank you very much, Nathan, and welcome to Perseus Mining's June quarter webinar. This morning, I'd like to provide listeners with an overview of our June '21 quarterly report that we released to the market earlier today and then follow up with a Q&A session to address any issues that appear either from the report or from a presentation.  Now at the risk of being accused of repeating myself each quarter, can I say that Perseus has once again recorded another strong quarterly performance this quarter, this time producing 102,788 ounces of gold, 16% more than the March quarter and 50% more than in the December quarter. In the process, we generated a cash margin of USD 605, roughly AUD 820 per ounce for every ounce we produced. And that resulted in notional cash flow of USD 62.1 million for the quarter and an increase in our net cash position of over $50 million quarter-on-quarter.  I think it's safe to conclude that Perseus is doing what we said we would do in terms of transitioning our company into a reliable multi-mine, multi -- mid-tier gold producer, and putting ourselves firmly on a course to achieve our stated aim of producing 500,000 ounces or more of gold per year at a cash margin of USD 400-odd per ounce or more from fiscal '22 onwards.  During the quarter, each of our three mines, including Edikan in Ghana as well as Sissingue and Yaoure in Cote d'Ivoire has performed very well. In fact, both Yaoure and Sissingue comfortably exceeded the top end of their respective guidance ranges for both the June half year and the full financial year to 30 June, compensating for Edikan that lagged slightly behind its targets.  As a group, we produced 191,246 ounces in the half year and 328,632 ounces for the full year. And not only have we broken our own production records, but we have in the process, exceeded the top end of the market production guidance range for both periods for the group.  If I am sounding a little too self-congratulatory to some listeners pace by highlighting these achievements, this is not intended. But it is worth noting that Perseus has come a very long way over the last few years. And in times like this, it's worth pausing very briefly to recognize what has been achieved.  Now these results are the result of a lot of hard work and resilience in challenging circumstances by what is now a first-class team of people that Perseus employs, spread across 3 operating mine sites and several exploration sites in West Africa, local offices in Accra and Abidjan and, of course, our corporate office here in Perth. And not to overlook the contribution made by our Board of Directors that has guided the management team during this period. So sincere thanks goes to all who have contributed, including their families, I should say, who have provided a lot of support while we have battled the COVID pandemic in recent times.  I should also note that what has been achieved has occurred in a reasonably sustainable manner as was reported in our very comprehensive 2020 Sustainability Report that was released to the market early in the June quarter and which was well received by an investing public that it seems are becoming increasingly focused on these areas, along with their army of advisers and rating agencies.  So in summary, as a company, Perseus performed very strongly once again during the June quarter, and it continues to be in a very good place. And for those of you who haven't yet had an opportunity to read our June quarterly in any detail, let me briefly talk in a bit more depth about the key elements of the performance and then open up to questions.  So firstly, let's discuss the Yaoure mine which, as you know, is our newest operation. We produced 37,343 ounces of gold in Yaoure during the quarter or 59,438 ounces for the half year, comfortably above our production guidance for the June half of 48,000 to 52,000 ounces. Our all-in site costs for the half year was USD 1,036 an ounce, which was below the guided range of USD 1,100 to USD 1,300 an ounce. I should note that this is actually the all-in site cost for the June quarter only since, prior to declaring commercial production on 31 March, all costs were capitalized in accordance with generally accepted accounting principles.  Now this was quite a remarkable performance by the team at Yaoure. During the half year period, we managed to commission the plant and ramp up production while confronting and successfully addressing three separate events of significant equipment failure, which happened during commissioning in the March quarter. They also had to endure power rationing by the Ivorian power authority during this June quarter. That meant from about mid-May on we ran on reduced power draw for a significant portion of each day.  Now notwithstanding these challenges, the team found a way to live by one of our core values and deliver on our promises by doing what we said we would do.  Now in regards to the power issue in Cote d'Ivoire, this was a bit of a wake-up call for us and we've since installed and commissioned a back-up 18-megawatt power station at Yaoure. Not only that, the Ivorian power authority center sorted out their own issues. So all is good on that front. And as of earlier this month, month of July, our power allocation was increased, and we've been operating largely unimpeded.  We do plan to release an updated life of mine plan for Yaoure in mid-August. It's a little bit later in the month we've earlier flagged. But this will coincide with the release of our group reserve and resource statement update that we normally publish each year slightly ahead of the release of our financial report for the year ending 30 June. That will come out around -- about the 20 something -- or 20, I think it is, of August.  This year, we've added incrementally to the Yaoure reserve resource inventory. And rather than confusing the picture by releasing these documents separately, we've held back the life of mine plan and the documents will be released around the same time. As I said, this life of mine plan is based on a mineral resource that includes a modest increase compared to the original DFS, but it will not include the additional resources resulting from the recent drilling of Yaoure underground targets.  When these additional resources have been estimated, we will expect that, that will materially increase the life of mine. But further updates on this will be provided later in the year and beyond that.  The life of mine plan update will, however, reflect actual costs, and this I expect will show an improvement in project economics relative to the DFS. So Yaoure is up and running very successfully. And having visited the site myself early in the June quarter, I can say that it's everything that we had hoped it would be.  So far this month, we've been feeding 100% high-grade fresh ore from the CMA pit into the mill. And the results are very encouraging, and let me just say that without going into detail, very encouraging.  And our other Ivorian mine, Sissingue, we produced 23,224 ounces of gold there during the quarter or 48,763 for the half year, once again comfortably above our production guidance range of 39,500 to 43,000 ounces for the June half. Our all-in site costs for the period were $715 an ounce, which was in the guided range of $650 to $725. Mining costs have gone up a little at Sissingue as we got deeper into the Stage 3 pit relative to the last half year.  And this quarter, we've also been impacted by, in USD terms, U.S. dollar terms, by strengthening of the euro and therefore, the [indiscernible] against the U.S. during the period. This has impacted particularly the cost of diesel, which, as you know, is used not only in the mining fleet, but also to fuel the Sissingue power station. Now to slide this, it's been a very good year for Sissingue, this financial year.  From a production point of view, everything has run extremely well, month in month We've exceeded most, if not all, our production KPIs such as run time, grade recovery. And this has enabled us to produce a total of 104,672 ounces of gold during the year at a weighted average all-in site cost of USD 676 per ounce.  Now with the strong gold price that we've enjoyed throughout the year, this has enabled us to generate close to $105 million in notional cash flow from Sissingue alone. Now those who have been following us for a while would remember that that's pretty much what it costs us to build this particular mine.  Now given that the capital investment in Sissingue was fully repaid in early 2020, this cash goes straight through to equity, representing a healthy return on our investment. Another win for Sissingue during the quarter, or should I say was a couple of days after the end of the quarter, occurred when President Ouattara, the Ivorian President signed a decree granting the long-awaited exploitation permit for the Fimbiasso area.  It's been a while coming. But with the license now issued, we can plan the future with confidence. We've also been putting the final touches on to a definitive feasibility study for the Antoinette, Juliette and Veronique deposits, which are located on the Bagoe tenement, Bagoe exploration tenement. This DFS along with an environmental and social impact assessment we will be lodged with the Mineral Commission in early August, along with an application for an exploitation permit to cover this area.  Now we're confident that the concept of satellite mining has been accepted by the Ivorian government with the issue of the Fimbiasso EP. The Bagoe EP should be approved reasonably quickly. In any event, once the Bagoe DFS is finalized, we'll set about preparing an optimized life of mine plan for what is a combined Sissingue, Fimbiasso, Bagoe operation. We do expect that this will extend the life of the operation at Sissingue beyond fiscal '24 even if there is no more discovered on any of the licenses, which at this stage seems fairly unlikely.  Anyway, in summary, fiscal '21 has been a great year for Sissingue. The next few years will not be as strong production lines unless we find some more very high-grade ore. But provided we can keep our costs under control and keep on producing gold at reasonable quantities, we'll still continue to generate incremental cash flow, and there's certainly nothing wrong with doing that.  Now turning to the Edikan mine. Our June quarter production was 42,221 ounces at $1,217 an ounce, a little bit below our expectations, both in terms of production and costs. Even though it did represent an incremental improvement on both the March and the December quarters, we had, in fact, actually hoped to have done a little better than that.  But anyway, in terms of the half year, we produced 83,045 ounces of gold at $1,213 per ounce, which compared favorably to the December half. But as I said, came up a little bit short on our half year market guidance parameters. There were several reasons for this. During the period, two of our key contractors maintenance fell behind schedule, reducing the availability of equipment at critical time set, meaning that we didn't have access to the ore that we were planning to access during the period, and I'm talking about some relatively high-grade ore in the AG pit.  This material hasn't gone anywhere. It just simply meant that it wasn't mined during the period when we were hoping to have mined it. And what that also meant was that we needed to supplement our mill feed with ore from our resources, including low-grade run-of-mine stockpiles this changed the grade and the hardness of the ore feed, which affected throughput rates, and this all affected production.  The other factor related specifically to the Fetish pit, which is the other main pit or main ore source during the quarter. Now as noted in our March quarter, a reconciliation between processed tonnes and grade of ore relative to the mineral resource block models for the Fetish pit was below standards, below industry standards, and this continued into early April.  So to address the issue, we promptly embarked on a program of infill drilling. We drilled about 1,100-odd meters in 9 RC holes and we subsequently updated our geological interpretation of the Fetish ore body, including a narrowing of some high-grade gold-bearing structures. And we updated the Fetish mineral resource model accordingly to more closely reflect the tonnes and grades that were being picked up by grade control in the March quarter and in April or so.  Now as a result, grade and reconciliation improved through -- from May onwards. But when we look at the quarter as a whole, the grade of ore produced through Fetish was also lower than originally planned, and this also directly impacted gold production. Pleasingly though, things have got back on track. And in the month of -- in the -- in both in June and in July and certainly in July where I think this morning or up to the 18th, we're about 8% above our budgets or something like that. So in fact, Edikan seems to have got back to -- back on track.  Look, Edikan has never been an easy mine, but we are a fairly resilient bunch and have become quite adept at identifying problems and addressing them fairly quickly and successfully. Now that said, the challenges we have encountered at Edikan over the years was the prime mover for us employing a corporate strategy of diversifying our production portfolio and adding additional mines in the different jurisdictions, which is exactly what we did by developing the Sissingue and the Yaoure mines.  Now from time to time, each of our mines will go through good periods and not so good periods. But across the group, we do expect to be able to consistently meet our group budgets and achieve or even exceed our group goals. This is certainly what has happened across the portfolio in the June quarter, the June half year and the 2020 financial year -- 2021 financial year, and we have every expectation that will be, again, repeated in the coming periods.  Now speaking of coming periods, we have provided production and cost guidance to the market in our quarterly report for the 6-month and 12-month period to 31 December 2021. Now across the group, we're expecting in the 6-month period to produce somewhere between 225,000 and 255,000 ounces at an all-in site cost of $925 to $1,025. You can read in the report how that's broken down between the various mines. Suffice to say that the greater proportion of that gold will be coming from Yaoure. What that means in terms of the calendar year is that this calendar year, we'll be producing somewhere like 416,000 to 446,000 odd ounces in the range of $975 to $1,035 ounces.  Now, look as a general rule and with a measure of prudence involved, Perseus typically provides guidance to the market for 6 months in advance only. We're following that approach again this year. But I will say that we do expect a slight pickup in production in the June half year 2022, which means that our forecast that we'll produce in excess of 500,000 ounces of gold from fiscal 2022 onwards remains firmly intact and firmly within our sites.  Turning to our financial position throughout the June quarter. We've continued to improve our balance sheet strength through generating strong cash flows and, dare I say, prudential -- or prudent financial management. The notional cash flow from operations of USD 62 million that we generated this quarter, it allowed us to reduce debt by USD 30 million, fund exploration at all 3 sites, pay all manner of taxes, including income tax in Ghana, pay dividends to the government in Cote d'Ivoire, pay corporate overheads and still retain a cash and bullion balance at the end of March of USD 156 million, giving us a net cash position of USD 56 million after taking into account our outstanding debt of $100 million. So this net cash position is USD 50.3 million better than the position at the end of March, so a material improvement.  Clearly, we're benefiting from a strong gold price but we're also benefiting from strong production growth at the same time. In that sense, the timing of our production growth has been very fortuitous. And on that basis, if the gold price remains strong in coming periods, as many expect it will, then it's not unreasonable to expect further growth in our balance sheet strength.  Now because someone asked me at the end of the session, whether we continue to hedge the price of a small percentage of our gold production, the answer is yes. We are currently price hedged to the extent of about 20% of our projected production over the next 3 years at a weighted average price of USD 1,595 per ounce. This average price is about USD 43 more than at the end of the March quarter due to our policy of where possible delivering into lower price hedges and replacing them with higher price hedges.  Now this has enabled us to average up the value of the book to this level where it's well in excess of our weighted average all-in site costs, ensuring that even for the hedged ounces, we can comfortably exceed our stated target of achieving a cash margin of $400 or more for our production.  I should also say that during the very dark years of 2013 and '14 when the industry was staring over the abyss with very low gold prices, Perseus had a hedge book of $1,600 an ounce. And it was that hedge book back in 2013, 2014 that probably saved this company from oblivion basically. So having a hedge book such as we've got, we think, is very beneficial in terms of ensuring our business can continue to operate under all manner of price conditions.  Now speaking of the future, as I did when commenting on our balance sheet growth, our plans for the future growth of Perseus' business is also a very regular topic of conversation with investors and analysts. Now as I've already mentioned, we are close to completing the DFS with the development of several deposits located on the Bagoe exploration tenement and we do plan to publish the updated life of mine plan for the Sissingue operation in the September quarter.  As I said, this will incorporate recently discovered the extensions of the Sissingue mineralization as well as Bagoe and the Fimbiasso deposits. Now without preempting, we are to pull out some of that planning exercise, the life of the Sissingue will certainly be extended, and we do expect to get further exploration success there. Now speaking of exploration success, we also embarked on a very significant exploration program currently expected to take at least 3 years during which we'll thoroughly examine a number of exploration targets that have been identified very close to existing infrastructure at each of the Yaoure, Edikan and Sissingue. And if we can achieve what we think is possible, we will materially add to our reserve and resource inventory.  At this stage, we're predicting the biggest bang for the buck to come from work adjacent to Yaoure and also Edikan. We previously talked about the underground opportunities at Yaoure that we think will materially extend the life of that mine, but there's also a number of very interesting opportunities coming up at Yaoure that are accessible from the surface. And we get the feeling that we've hardly scratched the surface in that part of the world.  As far as Edikan's concerned, we've also recently started drilling at the Breman prospect that we talked about. That's on the Agyakusu permit where significant mineralization has been identified on the surface in our seasonal mine workings. Now getting access to the plan has been a challenge, but I'm delighted to say that the rigs are turning at Breman and we are very optimistic about our prospects for success.  And I'm sure you'll forgive us if we are somewhat circumstance -- circumspect in reporting the exploration success in coming periods. Finding gold mineralization is not a huge challenge in West Africa, I have to say. But securing the rights to develop and monetize that gold before anyone else moves in does involve a little bit more effort to say.  That said, we do have to be able to progressively inform the market on our exploration results as they come through. So in terms of growth, clearly, the organic growth revenue that we're pursuing is well and truly in our sights and looks like it has the potential to generate some pretty interesting outcomes.  I should also say at this point that potential inorganic business growth opportunities involving either mergers or acquisitions are also regularly assessed by our in-house technical and commercial teams. Interestingly, in the last couple of weeks, I've been told by several people that they have it on good authority that Perseus is allegedly ready to pounce on a range of different companies, some more improbable than others.  Let me assure you that if we do decide to transact, 2 things are certain. One is the market will be kept fully informed before the individual investors, I might say, and that the transaction will be in the best interest of our shareholders. And then those things go without saying, given the challenges of implementing value-accretive M&A and applying strict financial discipline in assessing opportunities, we're not pinning our hopes on this activity for delivering growth in the immediate future, preferring, as I said, to focus on near mine and early growth exploration strategies. But we are looking for the right opportunities.  So in conclusion, as I said at the start of the call, the June quarter has been yet another very good quarter for Perseus in many respects. Our production is strong. Our costs are under control. We're managing our business successfully in the face of the global pandemic. And financially, we are getting stronger by the day. We must be doing something right.  We are looking to grow our business and we are now in a position where our shareholders can very reasonably expect to start to receive an income stream from Perseus by way of dividend or share buyback, both of which are -- which should be positive for our share price in due course and both of which are being looked at fairly closely as we speak.  Our share price has already performed strongly in recent times relative to our peers. And it does appear as if the quality of Perseus' performances and earnings capacity is being recognized by the market.  So as far as we're concerned, it's all good. And I'm now very happy to take any questions that you may have. Thanks very much.
A - Nathan Ryan: [Operator Instructions]. Your first two questions come from Reg Spencer at Canaccord. He congratulates you on the quarter. And then his first question is, can you remind me how much of Edikan reserves are represented by Fetish?
Jeffrey Quartermaine: Off the top of my head, I can't give you a good answer, but it's pretty clear if you have a look at the published information there. It's not an enormous amount. And I should say that the issue that we had last quarter and early this quarter was simply the result of paucity of drilling in 1 small part of the pit. So I wouldn't take it that, that is going to have a material impact on the overall gold that's taken from that Fetish deposit.
Nathan Ryan: And the second one is regarding dividend policy. So he's just asked, can we expect an announcement of a dividend policy with FY '211 result -- '21 results based on expected profitability/cash flow?
Jeffrey Quartermaine: Yes. Look, without speaking on behalf of the Board, I think it's fair to say that, that will happen. We are looking at that very closely. One of the things that we need to do is to have a -- get out of our house in order to enable payments of dividends out of the parent company, and that's something that we're looking at now.  But certainly, the opportunity to pay dividends has always been within our mind from this period onwards. Once we could see a pretty clear line of sight to a consistent cash flow, I think we are at that point now. And so there's very little reason why we would not announce the dividend policy when we release the full year results in August.
Nathan Ryan: Thank you. There are no further questions at this time. So I'll now hand back to Jeff for closing remarks.
Jeffrey Quartermaine: Okay. Well, look, thanks very much, Nathan, and thanks listeners for tuning in today. As I said, it's been a strong quarter for Perseus, another strong quarter, and we're looking forward quite optimistically to the next quarter and beyond that. And if the start to July is any indicator, then we'll be having another decent report to bring to you very shortly. So thank you very much, and we will speak again shortly.
Nathan Ryan: Goodbye.